Operator: Ladies and gentlemen, thank you for standing by. My name is Desiree, and I will be your conference operator today. At this time, I would like to welcome everyone to the Triple Flag Precious Metals Fourth Quarter 2025 Conference Call. [Operator Instructions] I would now like to turn the conference over to Sheldon Vanderkooy, CEO. You may begin.
Sheldon Vanderkooy: Thank you, Desiree. Good morning, everyone, and thank you for joining us to discuss Triple Flag's Fourth Quarter and Full Year 2025 results. Today, I'm joined by our Chief Financial Officer, Eban Bari; and Chief Operating Officer, James Dendle. Triple Flag had an outstanding year in 2025 and is extremely well positioned in 2026. We finished the year strong in Q4, resulting in record performance for full year 2025. We achieved record production of 113,000 GEOs. This was in the upper half of our guidance range and is the ninth consecutive year-over-year increase. Higher production and higher gold prices translated into record cash flow. Cash flow per share was $1.54 per share, a 45% increase from 2024. The model is working as it is intended, directly translating higher gold prices into rising cash flow per share. We continue to benefit from rising prices in 2026. In Q4, the average gold price was $4,135 an ounce, well below current spot prices of just under $5,000 per ounce. Moving ahead to 2026, our guidance range is 95,000 to 105,000 GEOs, which reflects the well-understood mine sequencing at Northparkes. It also reflects the planned step down in the Cerro Lindo stream rate following the successful delivery of 19.5 million ounces of silver since we acquired the stream in 2016. That was Triple Flag's first investment. We continue to see a long life ahead for Cerro Lindo with strong exploration potential as well as exposure to the silver price going forward. Our portfolio has significant embedded growth. Our 2030 outlook is that production in 2030 will grow to between 140,000 to 150,000 GEOs. This is approximately a 45% growth from the midpoint of our 2026 guidance. This is driven by multiple assets advancing through construction, permitting and study stages, including Arcata, Kone, Eskay Creek, Era Dorada, and Goldfield. Importantly, it is not dependent on any one large project. Looking beyond 2030, we have meaningful GEO growth potential from a number of large-scale assets located in the best jurisdictions, Australia, the United States and Canada. First, Hope Bay is located in Northern Canada and Agnico has stated that it is progressing towards a construction decision, which is expected in May of 2026. Second, Centerra released a positive PEA on Kemess targeting potential production in 2031. Kemess is located in British Columbia. Third is the Arthur project in Nevada, where AngloGold is expected to imminently release a pre-feasibility study, which I am quite eager to see. Last and most significantly is our flagship asset, Northparkes, located in Australia, which is clearly positioned as a significant growth asset for Triple Flag. I want to congratulate Lawrie Conway and the Evolution team for all the success they have had at Northparkes since they have acquired Northparkes. It is truly impressive. A week ago, Evolution released a significant update on Northparkes, which has 3 related catalysts for Triple Flag. First, Evolution approved the development of the E22 block cave. E22 has very attractive gold grades for Triple Flag and block cave development is the value-maximizing approach for both Evolution and Triple Flag. Second, Evolution has announced that it is studying expanding Northparkes from the current 7.6 million tonnes per annum to 10 million tonnes per annum or potentially more. There is tremendous demand for copper, and Northparkes is a very large resource. So the potential value creation of an expansion is clear. This could be very beneficial to the Triple Flag stream. And last, Evolution has identified a very attractive gold-only deposit on the property named E44. We had constructive discussions with Lawrie and Kirron and their team. And together, we came to an agreement that will allow for the development of E44, which was previously not included in Evolution's life of mine plan at Northparkes. As part of that agreement, Triple Flag will receive guaranteed minimum deliveries from E44 starting in 2030. Northparkes is a byproduct stream, so the potential to also benefit from primary gold deposits is a fantastic bonus for Triple Flag and its shareholders. All of these factors together clearly position Northparkes as a growth asset for Triple Flag for the next decade to come. I'd also like to touch on our capital deployment in 2025. Triple Flag invested over $350 million in value-accretive deals. This included the Arcata restart and ramp-up in Peru, the Arthur Oxide project in Nevada, the Johnson Camp mine that is ramping up in Arizona and the Minera Florida producing mine in Chile. These transactions provide current and growing cash flow or in the case of Arthur, represent exposure to a premier development project with a clear path to production and further exploration upside. Importantly, all of these assets are also located in mining-friendly jurisdictions. Overall, Triple Flag is exceptionally well positioned to deliver long-term and organic value for our shareholders from a diversified portfolio of producing and development assets across premier mining jurisdictions. I will now turn it over to Eban to discuss our financial results for 2025.
Eban Bari: Thank you, Sheldon. As you can see on this slide, 2025 was a record year across all financial metrics, driven by strong GEOs and record precious metals prices. As Sheldon noted, these record prices have since been broken by new records with spot, gold and silver well above even the Q4 average. Operating cash flow per share, the single most important metric we focus on as management, increased 45% to $1.54 per share. This metric best reflects the underlying operating performance of our core streaming and royalty business. This strong cash flow generation continued to support all of our capital allocation priorities given our high-margin business, including shareholder returns and external growth opportunities. On shareholder returns, we paid out nearly $46 million in dividends to shareholders in 2025, which reflected a progressive 5% dividend increase in the middle of the year, our fourth consecutive increase since our IPO. In addition to our dividend, we were active and accretive on our share buyback during the year. In 2025, we bought back USD 9 million of our shares in open market at approximately $17.39 per share. We expect to remain active on our NCIB opportunistically going forward. On external growth front, as Sheldon mentioned, we reinvested over $350 million into new streams and royalties in 2025. Arcata, Arthur, Johnson Camp Mine and Minera Florida all provide either immediate or near to medium-term cash flow, significant exploration potential and exposure to premier mining jurisdictions with strong operators. I'm pleased to highlight that even with this level of capital deployment and as a result of our strong cash generation, Triple Flag is debt-free at year-end with more than $70 million in cash and $1 billion available on our credit facility. We remain well positioned to deploying capital into transactions that are accretive, fit with our strategy and deliver value throughout the cycle. Moving forward to 2026 guidance. As Sheldon noted, we expect GEOs of between 95,000 and 105,000 ounces for the year. We expect these GEOs to be all derived from gold and silver and reflect a conservative gold to silver price ratio of $72 for the whole year with a lower ratio assumed in the first half. Depletion is expected to be between $65 million and $75 million, slightly lower than 2025, reflecting the sales mix we expect in 2026. G&A costs are expected to be between $30 million and $32 million, consistent with our actual expenses in 2025 that reflect the impact of Triple Flag's strong share price increase throughout the year on share-based compensation expense. Finally, our Australian cash tax rate for Australian royalties will be approximately 25%, consistent with prior year actuals. I will now pass it on to James to discuss our asset portfolio.
James Dendle: Thank you, Evan. Triple Flag has achieved a consistent track record delivering long-term GEOs growth since our first full year of operation in 2017. Beyond the guidance we have set for 2026, we see further organic growth to 140,000 to 150,000 GEOs in 2030. Midpoint to midpoint, this represents ounce growth of 45% from 2026 guidance, which I'll discuss further on the following slide. Our long-term organic growth outlook of 100,000 to 150,000 GEOs in 2030 is robust and reflects the achievement of several derisking milestones delivered by our operators over the past 12 months. We are seeing meaningful progress across the portfolio, supported not only by constructive commodity price environment but also by favorable permitting regimes across the jurisdictions to which we have exposure. Arcata, Kone, Eskay Creek, Era Dorada, Goldfield, South Railroad, and DeLamar are a few examples of the many assets in our portfolio that are advancing rapidly towards production or steady-state ramp-up over the medium term. Touching on only a few of them, we were exceptionally pleased to see in 2025, the Eskay Creek project in British Columbia received full permits in less than 1 year after submission. Aura Minerals received a construction license for E Dorada within 1 year of its acquisition and Centerra's renewed focus on the Gold Field project as a straightforward heap leach operation in Nevada. Beyond 2030, our portfolio is expected to deliver further GEO's growth from Arthur, Kemess, Hope Bay as well as the growth initiatives at Northparkes, which I'll discuss in the following slides. Beyond 2030, Arthur, Kemess, Hope Bay and Northparkes represent world-class, long-life assets located in the most stable and established mining jurisdictions. They provide substantial growth potential beyond our 2030 outlook and demonstrate the quality of Triple Flag's portfolio. At Arthur, we see the imminent release of a pre-feasibility study by AngloGold as an important catalyst in providing greater insights on the potential of this district scale system, starting with the Merlin silicon deposit as straightforward oxide open pit projects. Arthur will be a cornerstone asset for Triple Flag in the 2030s. At Kemess, Triple Flag holds a 100% silver stream. The January 2026 preliminary economic assessment supports a large-scale copper gold, silver operation reaching production by 2031, leveraging existing brownfield infrastructure and permits from the previous mining operation. Notably, the PEA mine plan only represents 47% of the total indicated and inferred resources, providing potential upside for future ounces to be included in subsequent economic studies. At PFS, the Kemess is expected in 2027. At Hope Bay, our 1% NSR royalty covers a district scale gold system on an asset operated by Agnico Eagle, the premier Canadian Arctic underground miner. In their year-end results from last week, Agnico noted that annual gold production is expected to be 400,000 to 425,000 ounces with a potential construction decision in May 2026 and a potential restart in 2030. I'll go into more detail on Northparkes on the next page. Northparkes is Triple Flag's largest asset. It's an established high-quality copper gold operation in Australia operated by Evolution Mining. Numerous growth projects have recently been approved that Sheldon referred to, which unlock the value from this world-class copper gold endowment. Currently, the E48 sublevel cave is ramping up and supports near-term gold production growth. Over the medium term, the E22 ore body will be advanced as a block cave, a large, low-cost operation with initial production by 2030. During this time frame, the E44 gold dominant deposit will also be advanced production. This is an ore body not previously included in Evolution's life of mine plans. Minimum guaranteed deliveries will commence in 2030 for a period of 7 years with potential for meaningful life extensions beyond this initial period. Finally, and perhaps most importantly, is the potential for mill expansion to at least 10 million tonnes per annum, which is currently being studied over the next year. We believe that this potential expansion is the optimal path forward to unlock the value from not only the 550 million tonnes of current measured and indicated resources but other prospective and underexplored targets that could materially add to the expected production profile with the improved scale and processing optionality. These growth projects demonstrate that Northparkes is not a static asset. It's a dynamic world-class mining operation with lots of embedded optionality that will drive value for decades to come. I'll now pass back to Sheldon for closing remarks.
Sheldon Vanderkooy: Thank you, James. After delivering record performance in 2025, Triple Flag is in an exceptionally strong position as we look ahead to 2026 and beyond. We have a clear and derisked pathway to robust growth of 140,000 to 150,000 GEOs in 2030. Our project pipeline progressed very well in 2025 and now in 2026. Beyond 2030, Triple Flag shareholders can expect significant additional GEO growth from long-life district scale assets, including at Northparkes, Arthur, Kemess and Hope Bay, all from projects with clear line of sight to production, a top-tier operator and located in Australia, Canada or the United States. Northparkes is our cornerstone asset and is clearly positioned as a growth asset over the next decade. On the deal front, we deployed over $350 million in 2025 across multiple accretive transactions, demonstrating our ability to source and execute on high-quality opportunities that deliver compounding per share growth from good assets, good regions and good operators. Our balance sheet remains pristine. We exited 2025 debt-free and with over $1 billion in total liquidity, providing us with substantial financial flexibility to continue pursuing accretive growth opportunities as well as to allocate capital to progressively growing returns to shareholders. That concludes our prepared remarks. Operator, please open the floor to questions.
Operator: [Operator Instructions] The first question comes from the line of Cosmos Chiu with CIBC.
Cosmos Chiu: Maybe my first question is at Northparkes. Great to see that you're investing more money into Northparkes at the E44 deposit. I guess my question is, are there more opportunities like that in terms of something similar to E44 gold-rich, something that would not be in the mine plan unless there's a partner coming in and hoping to put up some of the CapEx? And then maybe if you can also talk about the geological setting because it must be a very clear variety of different geological settings if there are copper-rich deposits and gold-rich deposits. I'm just trying to figure out where some of these gold-rich deposits came from.
Sheldon Vanderkooy: Yes. Thanks, Cosmos. This is Sheldon. I'll start and then pass it over to James. So historically, the Northparkes property had gold deposits, kind of shallow surface gold deposits and it was very interesting. Now of course, when we came in and did the stream, we really did the stream as a byproduct stream, which works because we get about 60% of the gold revenue that Evolution gets from Northparkes. And that works if the primary revenue is the copper. But for -- but if it's gold only, we had to come to the table with Lawrie and the team and work something out. But this is really exciting for us because the idea of getting a gold-only deposit there and us also having access to that was really key. There's nothing else right now on the horizon but is there a potential there? Well, I'll let James speak to that but there have been gold dominant deposits on that property in the past.
James Dendle: Yes. And Cosmos, it's James. As Sheldon noted, the first mining at Northparkes is actually, as you probably remember, in the mid-90s as a gold project, and it was actually first explored with shallow holes for gold mineralization. So there is a history there, but it's very clearly transitioned to a copper deposit for the last 25 years or so. So when you think about it geologically, yes, the gold is clearly associated with the copper, and it's a very prospective region. And I think what we're seeing with Evolution is exactly what we hoped when they acquired the asset. They think very expansively and very creatively about how to maximize value from operations. And I think that's been a big part of their success with assets like Ernest Henry. And they're applying the same approach to Northparkes, which is to say there's a large resource, let's look at expanding capacity. And then with that expanding capacity, what else can we do with it, which has caused them to really look at the gold deposits in a way that wasn't done in the past. And the short answer is E44 is the most known but there are a large number of targets across the property that are sort of known from some of the historical work that have not been tested and defined in a systematic manner, which I think really speaks to the opportunity to find more of this type of mineralization, which with the expanded mill capacity Evolution to take advantage of.
Cosmos Chiu: Great. That's great to hear, James. And then maybe my next question is taking a step back here. In the royalties and streaming industry, we've now seen recently some billion-dollar deals or even multibillion-dollar deals. I know, Sheldon, you mentioned that you deployed about $300 million last year. But in terms of these $1 billion-dollar deals, multibillion-dollar deals, is that something that Triple Flag could be interested in, could be competitive in? Or is that slightly too large for you at this point in time?
Sheldon Vanderkooy: We've always said that like our sweet spot is really in the $200 million to $500 million range. And I don't think that, that changes. And when you look back, Triple Flag actually is coming up on our 10th anniversary. And over the last 10 years, the vast majority of the capital deployment in the sector has been in that strike zone. So I feel really good about that. There was a large deal done earlier this week, and $4.3 billion is too big for Triple Flag. I think that's okay. But there's plenty out there, I think, that we can grow and deploy on. And again, our -- relative to our size, I think we have -- we definitely have an ability to grow because when you look at the size of Triple Flag and $350 million of deployment, that's meaningful. So if we do a $400 million deal, that is -- that moves the needle for Triple Flag, and I think that will be very well by our shareholders.
Cosmos Chiu: Great. And then maybe one last question. As you talk about the different growth opportunities within your portfolio, I guess one asset you did not mention was Pumpkin Hollow. I know there's a bit of history behind it. But now it seems like Pumpkin Hollow has a new owner, Kinterra, and they seem to have be able to raise a lot of capital. So Pumpkin Hollow once again, is this something that we should start talking about? Is there something that we should start getting excited about? Or is it still too early at this point in time?
Sheldon Vanderkooy: Yes. So we retain a royalty on the Pumpkin Hollow open pit. And that actually, I think, looks like a really nice royalty because that is copper in the United States, and we're a royalty and we're on title and that survived all the processes that went on there. So I am quite keen to see what Kinterra is doing there, and that represents some very nice copper exposure from the United States for Triple Flag shareholders. Triple Flag will not be investing any more money in Pumpkin Hollow. I can -- I'll say that clearly.
Operator: Our next question comes from the line of Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: I have a couple of questions, if I could, start with a very easy one. Can I know that you use a very different ratio. I just kind of want to assume like a flat gold price, flat silver price, et cetera. Can you give us just an idea of how the year is going to look like from a quarterly perspective? We have some step downs. We have other things happening. So I'm just trying to understand how should we think first half, second half, et cetera?
Sheldon Vanderkooy: Yes. Tanya, we give our annual guidance. We're not going to break it down by the quarters. And you've kind of correctly identified the one factor, which is the Cerro Lindo step-down will occur sometime in the second quarter, we believe but I can't give any more quarterly guidance over and above that.
Tanya Jakusconek: Okay. What about the capital returns? I think those are -- you focus on the dividend and you like the fact that you progressively increase that dividend. How should we be thinking about it for midyear?
Sheldon Vanderkooy: Yes. I think nothing's changed on our philosophy on capital allocation. So as you cited, we have a progressively increasing dividend. We've increased it every year since we've been public. I see no reason why we would change that. I think it's very -- it goes over very well with shareholders. So that's the dividend. And then we're looking to deploy capital into accretive opportunities for shareholders. It's really that simple.
Tanya Jakusconek: Okay. And in terms of the opportunities, I think you mentioned that $200 million to $500 million range being your sweet spot and see some bigger deals. So I have a couple of questions on this front. The first thing is I've noticed that 2 people shopping in their own closets [indiscernible] and Wheaton. Are there any other things to do in shopping in your own closet? Any other opportunities on assets you own?
Sheldon Vanderkooy: That's an analogy. I haven't heard before. I like it. I guess we just...
Tanya Jakusconek: Let all the time, by the way, Sheldon.
Sheldon Vanderkooy: It's natural when you have a relationship with a party or you already have a position in a property that those are the things you look to. And with Northparkes, that was obviously a natural for us. And would be looking for other opportunities like that? Yes, perhaps. But these things are -- they're never done until they're done, and I don't want to start front-running anything, but we try to engage closely with all of our partners.
Tanya Jakusconek: And in terms of opportunities that are out there, would you say most of them now are focused on asset builds? Or are the royalty portfolios still available? We saw one last night as well, anything -- any color on opportunities that are out there?
Sheldon Vanderkooy: It's going to be the same answer as has been received by, I think, everyone for the last little while. There's a variety. There's third-party assets that are coming up for sale. There's people looking for financing for various things, and that can be development or that could be other reasons. It's -- I wouldn't say there's any like one big thematic out there. And it's kind of our job to look at the opportunity set and try to generate some of our opportunity set as well. So I wouldn't say there is any kind of one sort of theme that I'm seeing out there. The opportunity set looks pretty robust to me. And I think we've seen not just ourselves but other people deploy. I think that bodes well for the sector as a whole.
Tanya Jakusconek: Okay. And then we've seen some very big silver opportunities. Are there any smaller ones that fit that $200 million to $500 million range that you're seeing out there?
Sheldon Vanderkooy: Yes. And again, I wouldn't consider $200 million to $500 million to be small for a company of Triple Flag size. That would be quite meaningful. There's silver opportunities. There's also gold opportunities out there. I think our focus is always probably gold first, silver, second but we like precious metals. And if it's a good silver asset or a good gold asset, we really want to be on good assets with good operators.
Tanya Jakusconek: Yes. When I meant the smaller silver opportunities, that was relative to the $4.3 billion. So relative to...
Sheldon Vanderkooy: Yes, most things are small relative to $4.3 billion.
Operator: Next question comes from the line of Brian MacArthur with Raymond James.
Brian MacArthur: Could you just give us an update on ATO and maybe what you -- if you assumed any contribution this year? And then as you go out to 2030, what you're thinking, i.e., expansion or baseline, if you could just give us an update on that, that would be great.
Sheldon Vanderkooy: Brian, it's Sheldon. I'll answer that one. Like look, ATO is in litigation. We've been quite upfront with the market on that. We feel very confident in our position. And that process is kind of going through the court. So I can't say too much. But what I will say, and I think this is really pertinent and I'm glad you asked the question, we took it out of our 2026 guidance, and we took it out of the 2030 5-year as well. So that doesn't reflect our confidence in our position but rather, we just want to remove it as a potential distraction for investors to have to get a handle on. So when you look at those figures we put out for 2026 and for 2030, there's 0 contribution from ATO in there, and ATO is only upside, not downside relative to those figures.
Operator: That concludes the question-and-answer session. I would like to turn the call back over to our CEO, Sheldon Vanderkooy.
Sheldon Vanderkooy: Thank you very much. Really appreciated speaking with everyone and looking forward to a great 2026. Bye.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining in. You may now disconnect.